Operator: Greetings, and welcome to the Hannon Armstrong Third Quarter Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Neha Gaddam, Senior Director, Investor Relations and Corporate Finance. The floor is yours.
Neha Gaddam: Thank you, operator. Good afternoon, everyone, and welcome. Earlier this afternoon, Hannon Armstrong distributed a press release detailing our third quarter 2022 results. A copy of which is available on our website. This conference call is being webcast live on the Investor Relations page of our website, where a replay will be available later today. Before the call begins, I'd like to remind you that some of the comments made in the course of this call are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. The company claims the protection of Safe Harbor for forward-looking statements contained in such sections. The forward-looking statements made in this call are subject to risks and uncertainties described in the Risk Factors section of the company's Form 10-K and other filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made as of today, and the company does not undertake any responsibility to update any forward-looking statements based on new circumstances or revised expectations. During this call, we will primarily discuss non-GAAP financial measures, which we believe help investors gain a meaningful understanding of our core financial results and guidance. A presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. A reconciliation of GAAP to non-GAAP financial measures is available on our posted earnings release and slide presentation. Joining me on today's call are Jeff Eckel, the company's Chairman and CEO; and Jeff Lipson, our CFO and COO. With that, I'd like to turn the call over to Jeff Eckel, who will begin on slide 3. Jeff?
Jeff Eckel: Thanks, Neha, and good afternoon, everyone. I'd like to begin on slide 3 with a few key business highlights. We demonstrated continued strong performance in the third quarter with distributable earnings of $0.49 per share, a 20% increase over last year. We're pleased to affirm our prior guidance for annual growth in distributable EPS of 10% to 13% through 2024 and 5% to 8% annual growth in our dividend for the same period. And our Board has declared a quarterly dividend of $0.375 per share. As anticipated, yields on new investments are starting to improve. Higher energy prices are continuing to drive new PPA prices higher and the clean energy industry is adapting at a higher price of capital starting to reprice with their clients. While the yield on our $3.9 billion portfolio remains unchanged in the quarter, we expect the yield will increase proportionately as we fund new investments. Our 12-month pipeline increased to more than $4.5 billion, up from more than $4 billion last quarter. The increase represents new opportunities with existing clients as well as several new clients. Notably, this increase has little to do with the IRA with that upside still to come in the 2024-2025 time period and beyond as we will discuss later. Today, we're pleased to announce the successful debt raise of $383 million, contributing to our strong liquidity position, including cash from operations of over $1.2 billion, which gives us ample runway for funding new deals. Moving to slide 4. We provide more details on our updated 12-month pipeline, which as I said, we've increased to greater than $4.5 billion with growth in each of the individual markets. The behind-the-meter pipeline remains strong in residential and community solar, along with increases in governmental efficiency opportunities. The grid connected pipeline remains predominantly solar with a significant portion expected to close in the next several quarters. We addressed the sustainable infrastructure market more fully on the next page. Turning to that page, slide 5. We've always believed the Climate Solutions market was larger than the electric power sector, which represents only 25% of US greenhouse gas emissions. The rest of the GHG emissions come from industry, transport, agriculture and the built environment. We have been building a team to commercialize these opportunities and are pleased with their early successes with two investments I will highlight now. First, we've entered the renewable natural gas market with a $125 million senior investment in a set of operating projects developed and operated by Ameresco, a long-term programmatic client capacities. As they have been in so many other markets, Ameresco has been a successful pioneer in RNG, and we're pleased to expand our investing relationship with them. Second, we also completed a $72 million transaction in support of school bus modernization through software and eventually electrification with Zoom. Zoom has a significant and growing client base among investment-grade rated school systems around the country. Our investment permits the modernization of standard proven technology, in this case, school buses into a more nimble, efficient fleet. These are both shorter tenor transactions and because tax equity is not involved have a superior near-term cash profile than many renewable projects. Our flexibility to reach across industry sectors is evidence that our overarching strategy to invest in assets that decarbonize is a massive one. Turning to slide 6. We lay out a time line of when and how we expect IRA policy support to have a meaningful impact on HASI’s business. This year and next, we expect improved economics on current projects in the pipeline with the anticipated extension and step-up in tax credits and election of certain solar projects from ITC to PTC. While our clients are seeing these benefits in grid-connected projects, is happening faster in the behind-the-meter projects because they're quicker to build, leading to faster utilization of these benefits. RNG and transport benefit from the clean fuel credit and the ITC, respectively. And speaking with our clients about their pipeline in the 2024 to 2026 period, we're hearing a significant increase in ambition and resulting volumes in both grid connected and behind-the-meter developments, stems from the clarity and certainty of the IRA provisions, including the ITC adders. We think the transferability provision could be a significant opportunity for us along with stand-alone storage. '24 to '26 looks to be a pivotal time when our clients scale up project development, which will then reflect volume growth in our pipeline. To be clear, our pipeline is a 12-month pipeline and does not reflect these increases. By 2026 and beyond, we expect significant new markets to develop in green hydrogen, transmission and grid modernization. Bottom line, the energy transition is starting to accelerate, and yet it will take time for that acceleration to appear in our pipeline. Now, I'll turn it over to Jeff A [ph] to detail our financial results.
Jeff Lipson: Thanks, Jeff. On slide 7, we detail our $3.9 billion balance sheet portfolio as of the third quarter of 2022, which has grown 22% over the last year. We added over 100 new investments in the past year, contributing to our recurring net investment income. Our portfolio now includes over 365 investments across eight asset classes as the diversity of the business remains an ongoing positive attribute. The projects underlying these investments represent over 12 gigawatts of clean energy and improving economic value in times of higher commodity prices and provide cost-effective critical energy to end users. Therefore, these investments are non-cyclical with 99% of investments currently performing within our financial expectations, and we do not expect a recession to negatively impact the performance of these investments. Further, we detail our Q3 portfolio reconciliation on the right side of the slide. The portfolio balance was flat for the quarter as we funded $91 million of investments, offset by collections and securitizations on existing assets. Funding expectations of previously closed transactions is over $625 million expected to fund through 2023. On slide 8, we have summarized our third quarter results with a year-over-year comparison on the top left and year-to-date comparisons on the remainder of the slide. We recorded distributable earnings per share of $0.49 in the third quarter, which is up 20% year-over-year. We also had a strong quarter of distributable net investment income of approximately $43 million, which is up 36% year-over-year and recorded a gain on sale of $19 million. In the upper right, we note year-to-date distributable EPS growth was 13% year-over-year, primarily due to higher revenue from a larger portfolio. In addition, as shown on the lower right, we are on track for another strong year of gain on sale and fees with $64 million of this revenue source through three quarters. This is a very similar number as last year despite the higher rate environment, reflecting that our securitization profitability is unaffected by rates, a topic I will discuss in more detail in a few minutes. On the lower left, distributable net investment income was approximately $134 million year-to-date, reflecting year-over-year growth of 40%, driven by a larger portfolio and continued strong margins. In summary, despite higher rates and capital markets disruption, we were able to achieve our targeted level of profitability and are able to once again affirm our guidance. The next two slides both address interest rate risk in our business, a topic which we are frequently asked about. Page 9 addresses this risk related to our balance sheet and page 10 addresses our off-balance sheet investments. As the top left graph on page 9 indicates, we have maintained strong margins and are now entering a phase during which we expect our cost of debt to increase. However, most of that increase will be offset with higher yields on new investments, as Jeff described earlier. It is also important to note that, our current portfolio yield and cost of debt include a substantial amount of existing assets and liabilities. So neither figure will move up quickly as incremental investments in debt at higher rates will only initially comprise a modest percentage of the balance sheet. The primary conclusion of this chart is that in this illustrative scenario, we believe higher yields and higher debt costs would result in margins large enough to support a run rate of approximately 10% to 12% ROE consistent with our historic levels of profitability. On the upper right of the slide, we detail other factors, which we expect will allow us to maintain strong margins, including utilizing lower leverage and pivoting to bank and private debt, while public debt markets are volatile. Also, we have recently been asked about the refinancing of our low coupon debt maturing in 2026. Before addressing refinancing, I will note that issuing low-cost debt and substantial size in 2021 will continue to be a catalyst of strong margins over the 2021 to 2026 period. As it relates to refinancing this bond in 2026, there are several potential outcomes and several rate scenarios that may occur over the next four years. However, even if we assume a high cost outcome of simply refinancing it with a similar bond offering at a rate 350 to 400 basis points higher than its current coupon, we believe the size and profitability of our business by 2026 will be such that it will not cause our profitability to fall below our targeted ROE range. This is because by that time, the portfolio is expected to be larger and had a higher investment yield. This scenario also ignores the fact that our recent investment grade credit rating positions us more favorably for debt cost optimization when public debt markets return to more normalized historic patterns. The bottom portion of this slide reflects our illustrative business model in a rising rate environment, depicted as a percent of assets that reconciles back to our targeted ROE range of 10% to 12%. As we have stated several times, we have managed this business in markets in which rates have been high, low, flat, steep or inverted and have consistently maintained earnings growth. This is a reflection of the flexible business model we deploy using diversified sources of capital, both on and off balance sheet. Turning to slide 10. We've also received questions recently regarding our expected securitization activity now that rates have risen. To be clear, our securitization activity and the corresponding gains are not impacted by rates. Fluctuations in our gains are the result of volume and mix, non-interest rates. Our securitization transactions are fundamentally purchase and sale arrangements in which we typically buy receivables from clients, only after we have an agreed upon sale price from our securitization partner. We then closed the purchase and sale either simultaneously or typically within a short period, utilizing a rate lock to minimize interest rate risk. We do not use warehouse lines, nor do we typically hold these investments unhedged on our balance sheet, exposing ourselves to changes in rates prior to the receivables being sold. For example, in 2021 and 2022 year-to-date, over two-thirds of our securitization transactions have been simultaneous or hedged and the majority of the remainder had less than 30 days unhedged exposure. It is also important to note that these transactions occur outside of the ABS market and are not impacted by the dynamics and volatility of the ABS capital markets. These are bilateral arrangements with partners, primarily life insurance companies that have transacted with us over multiple decades including under a variety of interest rate and macroeconomic conditions. Therefore, this remains a flexible and resilient component of the business that is not subject to meaningful market risks. In 2021, we recorded $80 million of gain on sale and fees, reflecting a 23% increase from 2020. We are on track to duplicate that outstanding level of gains and fees in 2022 despite rates being much higher. Further evidence these gains are not rate sensitive. Turning to slide 11. We are pleased to highlight our successful recent debt transaction. Subsequent to quarter end, we closed a $383 million three-year Term Loan A arranged by JPMorgan and including six total banks. It bears a credit spread of 222.5 basis points above term SOFR, which can be reduced based on carbon count thresholds. When combined with the $600 million bank revolver we closed in the first quarter, we have successfully raised approximately $1 billion of bank debt in 2022. This support from the banks underscores the strength of our business model and our long-term predictable cash flows. These bank facilities have allowed us to pre-fund a meaningful portion of our expected 2023 investment fundings, while avoiding the currently volatile public debt markets, further evidence of the resiliency of our business and our ability to weather market disruptions. In the third quarter, we issued $49 million of equity at an average price of $36.85, with all of these transactions, our current liquidity has improved even further and is over $1.2 billion on a pro forma basis. Our fixed rate debt percentage was 93% at quarter end, and is expected to decrease modestly at year-end due to the term loan A. We also continue to manage our leverage in a consistent range and our debt-to-equity ratio was 1.7 times at year-end. Please note, we have an updated cash sources and uses slide on Page 15 in the appendix in the format that we began utilizing in the second quarter, reflecting that net cash collections remain well above the dividend. And $158 million of year-to-date excess cash collections can be utilized to fund new higher-yielding investments, further reducing our reliance on external funding. In summary, it was another quarter of strong growth in earnings and net investment income. The portfolio is performing as expected and our liquidity profile remains excellent. And with that, I'll turn the call back over to Jeff.
Jeff Eckel: Great job. Thanks, Jeff. Turning to Slide 12, an update on our ESG activity includes finalizing an improved carbon count methodology and kicking off our business partner ESG engagement program. And we're very pleased to have Beth Ardisana joined our Board and Audit Committee. Beth brings significant experience in the renewable fuel and transport sectors to our Board. We'll wrap up on Slide 13. Good businesses get tested in rough markets, and we're pleased with how we performed this quarter and this year. We believe this is due to our resilient dual revenue business model of net investment income and securitization gains on sale. Our pipeline is growing and yields are adjusting to the higher price of capital. This pipeline growth is driven by partnering with the best clients in the best market, Climate Solutions investing. Despite higher interest rates, we're able to affirm our guidance for earnings and dividend growth through 2024. With that, we'll conclude our remarks, and we'll open up the line for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions] We'll take our first question from Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Thanks for taking the questions and I appreciate some of these incremental slides. First, just to clarify on the securitization platform slide discussion. So there's a bilateral transaction you're buying and selling at pretty much the same time. In a higher rate environment, where the discount rate is higher, is the assumption that the spread between X and Y should expand to kind of keep the NPV constant? Is that the right way to think about it? And is that what you're effectively seeing in getting acceptance for in the market?
Jeff Eckel: So I mean the base rates will go up on both sides. The spread may or may not go up. Typically, I've seen over the years, in the last two decades, we've been doing this, that spreads are proportional to the base rate. So as base rates go up, spreads go up. But that's not -- that's more of an anecdote, not a law of physics. But I do want to highlight that 2008 and 2009 when markets were even more perturbed than they are now to say the least. That was still open. The life insurance companies still have liabilities from their life insurance policies and they still need to offset that with high quality in AIC1 assets that are long dated and have a premium to the US Treasury. And that's what we've been able to supply over the last two decades.
Noah Kaye: Very helpful. And then you mentioned in the prepared remarks that the potential value of the one-time transferability of the tax credits. Can you maybe expand on that a little bit how that might be useful to you how you might position yourself in terms of utilizing the transferability?
Jeff Eckel: Yeah. Good question. I mean, we're all waiting for treasury to finalize regulations to see what it actually is. But if it's what we think it could be, -- it's just another way for us to solve our client problems by using our broker dealer, whatever to arrange the tax equity as well. We have lots of corporate relationships with tax liability. So it's an opportunity. But again, it's a couple of years out and a whole lot of details and the regulations before we really know what's there.
Noah Kaye: Okay. Great. Maybe if I could sneak one more in. You highlighted some of the new sustainable infrastructure investments. They do have a sort of shorter tenor versus the portfolio average and -- maybe you can talk a little bit about the expected trends there with some of these newer asset classes, I guess, it makes sense to have relatively shorter tenors early on. But are some of these asset classes in your view, maturing where we get long-term offtakes and you can kind of pair up the tenor of your investment to match those long-term PPAs
Jeff Eckel: Let me answer the tenor question with the cash flow. The cash flow is more front-end loaded, which when I talk about tenor, I'm talking about the weighted average life which shortens the weighted average life. But these are not like 36-month transactions. These are approximately 10 years or even longer, but with a front-end loaded cash flow.
Noah Kaye: We certainly see…
Jeff Eckel: Yes, sorry, go ahead.
Noah Kaye: Yes, yes. So effectively, the tenor is comparable to some of your longer-dated investments, but the cash flows are more front-weighted?
Jeff Eckel: Correct.
Noah Kaye: Okay. All right. That's a helpful clarification. Thanks so much.
Operator: [Operator Instructions] We will take our next question from Chris Souther with B. Riley. The floor is yours.
Chris Souther: Hi guys. Thanks for taking my question here. Maybe just on the pipeline increase to $4.5 billion, any color on how we should expect the weighting of that timeline over the next 12 months? I know it's been a challenge traditionally to predict on a quarter-to-quarter basis. But I'm curious, just generally, if you're seeing stuff slip into next year given some of the incentives come around and also the volatility we've had within rates. So I'm just kind of curious how your customers are thinking about timelines when there is kind of interest rate uncertainty that might be kind of bumping up the returns you guys would be looking to get on different projects.
Jeff Eckel: Well, I think we talked about grid connected, solar being dominant, but American Clean Power Association reported yesterday or today that panel shortage is still plagued the industry, and that's true. We think our pipeline factors in the delays with the best information available to us. And unfortunately, Chris, our ability to predict that mix of our pipeline is pretty limited. It's hard for us to detect the pattern of which transactions will mature on any reliable time line. Again, that's why we like to have a pipeline that is multiples of what we're trying to invest annually.
Chris Souther: Okay. No, that all makes sense. And just historically, if you go back and kind of see how you guys matched up versus the 12-month pipeline on like a go-forward basis, it's almost always above kind of 50% if you go back to at least like 2019 or so, is that kind of a good way we should be thinking about the success rate now that the pipeline has gotten a lot bigger, or do you think it -- it's just kind of larger size but maybe not the same kind of success rate on a go-forward basis. Do you have any sense there?
Jeff Eckel: I think there's two answers to that question. One is a larger pipeline allows us to be a bit more selective on where we invest. Not every client adjust to higher capital costs in precisely the same way in timing. And there's no question the market is working through higher cost throughout all supply chains, including that for capital. The flip side is we generally have programmatic clients who we expect to get our fair share of the business, 50% is not a bad estimate. We certainly are telling you that the market is growing. We expect to grow, but it's -- it'd be lovely to have it be the stayed to 50%. A lot of moving parts, however, in this industry right now, as you well know.
Chris Souther: Okay. That all makes. And just last one. You guys mentioned the transferability opportunities potentially helping you out specifically, I was curious if that was just overall market or something specifically that you think you'd be able to benefit with that?
Jeff Eckel: First of all, I think the overall provision will be a healthy one for the industry. It shouldn't -- if structured correctly, should introduce more competition in tax equity, which everybody should rejoice that. I think the transferability provision might be more useful to smaller clients with smaller projects who have typically had more challenging time getting the big tax equity suppliers to pay attention to them. So, that's one, I think, the more obvious opportunities. But I don't know any of our clients rejoice at the prospect of negotiating on tax equity. So, to the extent we can provide another solution, we'll be glad to step in there and be competitive.
Chris Souther: No, makes sense. I'll hop in the queue. Thanks guys.
Operator: We'll take our next question from Ben Kallo with Baird. Please go ahead.
Ben Kallo: Hey guys. Good evening. Thank you. So, just with the pipeline, how should we think about the yield of the portfolio or expected I think, Jeff, you kind of, talked about this, the greater pipeline you have more opportunities. But is there going to be any kind of big change in that? Then I have a follow-up.
Jeff Eckel: I mean, if it's a $4 billion pipeline and let's say we add $1 billion in a year at higher rates, but not -- we're not doubling our yield. That's for sure and Jeff Eckel talked about this, this is going to move relatively slowly and proportionate to the investments as well as the change in liabilities. It's not going to be a radical uptick in yields. 
Jeff Eckel: Just -- Yes, sorry, Ben the mass of $4 billion, that's $7.4 billion and the amount we add each quarter and each year, that will be as we said in the prepared remarks, that will be a slow moving uptick. So don't expect anything big overnight.
Q – Ben Kallo: As you highlighted the Ameresco and the Zoom deal. I don't know if those were both in the quarter, but that's about $200 million. So the bulk of what you guys did -- so we expect a bigger results
Jeff Eckel: Actually, Ben, let me correct. The Ameresco transaction was in Q4. We talked about it on this call because of Ameresco's press release, which also came out on I don’t know orso it's not in the Q3 number.
Q – Ben Kallo: So my question was, are we doing bigger truck year deals or are still trying to focus on kind of mid-teen deal size?
Jeff Eckel: Yes. I mean nothing has fundamentally changed in the way we're investing. We'll have some larger investments. I think there are three assets in the Ameresco portfolio, so we would consider those three separate projects, but no, nothing has changed that says we're going to be writing single project checks in the multi-hundred dollar range.
Q – Ben Kallo: And last question just on the debt financing. So you get credit for part reduction, but can you talk about maybe if there was other or how that deal was processed and if they came to you went to them and how you got debt or part reduction [ph] or seems new to me
Jeff Eckel: Sure. Okay. Well, this is in a category to answer the second part of the question of sustainably sustainability linked debt. So a lot of the banks now in order to provide an incentive to address climate change will lower the rate based on thresholds that they established for that particular client. In our case, we already have metric carbon count. So if we maintain carbon count at a certain level, we do get a reduction in the interest rate on the loan. To the first part of the question, it comes out of just ongoing dialogue we have with our bank partners. We have a great relationship with a number of banks as evidenced by our revolver and this transaction and in talking about various funding alternatives, we mutually arrived at the notion they syndicated term loan A in this particular capital markets environment being an optimal solution for us right now. So it was a joint dialed it wasn't necessarily one party coming to the other.
Q – Ben Kallo: Thank you
Operator: [Operator Instructions] We'll take our next question from Julien Dumoulin-Smith with Bank of America. Please go ahead. Your line is now open. Julien, you might check your mute button, we’re having a hard time hearing you. We'll move on to our next question from Jeff Osborne with Cowen and Company. Please go ahead.
Jeff Osborne: Good evening guys. A couple of questions on my end. I was curious with the changes in the IRA and given how typically, in particular, in grid-scale you folks coming late to the equation. Are you seeing any projects being delayed as people await guidance from treasury or possibly moving from ITC to PTC?
Jeff Eckel: Jeff, first hi. I would say every one of our lead list -- projects on our lead list gets delayed at some point in this life cycle. So the honest answer is yes, everything gets delayed. I wouldn't say that there's anything, any pattern in the delays right now that would be related to the IRA. I think there was a lot of consternation over whether there would be an IRA and a lot of analysts had do infinite runs on ITC versus PTC. The clarity that the IRA provides has, I think, break that log chance. And now we're seeing some projects go forward with clarity of tax policy. I think the -- any delays are going to be transfer billing and things like that, where there is no treasury regulations to implement.
Jeff Osborne: Got it. That's helpful. And then I think -- I want to make sure I understand what's going on here. You mentioned $620 million of previously closed transactions are locked and loaded in the pipeline, and that's one of the rationales for the funding. And is all of that in calendar 2023. So if we were to assume you're to do roughly $1.25 million to $1.5 billion, are you about halfway through, maybe the low end of that range if you're in that typical funded volume commitment range? I'm just trying to think about visibility into 2023 at this point?
Jeff Lipson: So as a reminder, closed transactions and the unfunded amounts related to them from a reporting perspective, when we say transactions closed, like this quarter, we said 273, that doesn't mean that's what's funded. And this is what's remaining to be funded from transactions we've already announced. Not all of it will be in 2023, probably some of it will be in 2022. But as Jeff said, that's always subject to change anyway. It's very hard to necessarily identify when things are going to close, but some of it may be in 2022. But I wouldn't make that incrementally related to the amount of the pipeline that we expect to close in earlier questions that we answered. This is completely separate from that. These transactions have already closed.
Jeff Osborne: Got it. And then if I could sneak one more in on the newer areas, great to see the bus in the RNG market, something we've been looking for, for a while from you folks. And I guess the cash flow dynamics. I wanted to understand two things, one is what the yield of those types of efforts are? And then B, would be, is there any type of accelerated risk or elevated risk relative to typical PPA structures. For example, in the bus space, there are several companies out there that essentially are arbitraging energy -- more B vehicle-to-grid setups in particular over the summer months as well as during the day when school buses aren't moving. And so are you a bit more exposed to, say, merchant electricity prices or someone's software platform exercising those efforts? I'm not that familiar with Zoom, who you made the investment with. So if you could just highlight what potential risks are with some of these newer areas would be helpful.
Jeff Eckel: Sure. Mike, a couple of points. As you know, we haven't been the first movers in RNG or fleet modernization, and that's intentional. We like to go slow. And then when we do get in, we like to be senior while we learn how the assets perform. The -- and we are. So I think it's fair to say we're not -- still not the sportiest kind of capital around and potentially trying to not take on risk, we probably don't understand. In terms of pricing, we'd rather not talk about individual transaction pricing, but the [indiscernible] press release does include pricing, and we like that and assume we have not disclosed.
Jeff Osborne: Got it. That's helpful. Appreciate it, Jeff.
Jeff Eckel: All right.
Operator: We will take our next question from Julien Dumoulin-Smith with Bank of America. Your line is now open.
Julien Dumoulin-Smith: Bronson always works. Thanks, guys. Appreciate it. Listen, I wanted to just ask, first-off, going back a little bit to what was talked about before. I wanted to hear you a little bit on the timing, right? I mean we talked about the spread at time. And obviously, you guys hit that squarely in the remarks. Can we talk about sort of how you think about the sort of the step-up in rates and how that filters into your financing costs relative to how that's sort of transposing itself in asset returns in an incremental way, not across the portfolio. Can you talk to that a little bit on expectations across the next several quarters in what we should be seeing? Is one going to outpace the other just given the large duration across both?
Jeff Eckel: So Julien, I would characterize them both as moving slowly as we move through the next few quarters. Again, underlying our portfolio yield and underlying our cost of funds is a large portfolio and quite a bit of debt. So as we incrementally close transactions and issue new debt, it's not going to have an overly dramatic impact on either of those numbers. This will take time. And so -- as we move through the next few quarters, I would expect very slow upward movements in both of those figures.
Julien Dumoulin-Smith: Yeah, maybe just to clarify a little bit, like how much of an uptick are you seeing in sort of the incremental assets coming in here? Obviously, the cost of debt is a little bit more transparent, but how quickly has the market responded on asset returns? It sounds like it's been pretty dramatic in terms of asset returns as well from what you're kind of implying there, right? Again, I obviously take rental on both sides.
Jeff Eckel: Yeah, I wouldn't say dramatically. Julien, I wouldn't say dramatic. We might want it to be dramatic, but sometimes the pro formas are baked and you push where you can and get some more pricing. I think the more constructive set of conversations we're having are on the projects that have not been fully priced and baked. And that's where we're having -- not everybody gets the memo at the same day on what happened in the market. And these aren't the easiest of discussions. But we are definitely expressing the need, and I think our clients are hearing the need for increased pricing. It won't be, as Jeff said, something is going to pick up the yields by 100 basis points on the overall portfolio in a few quarters. It's just mathematically not in the cards.
Julien Dumoulin-Smith: Yes. No, clearly, across the portfolio. That will take some time. Excellent. And then can you talk a little bit about what the IRA affords in terms of new asset classes? I mean, I'm just curious, as the dust settles here, you guys have clearly been looking at a lot of a wide array. You guys are clearly looking past tense at a wider array than many other diversified renewal companies out there. What are you seeing to get into today, right, as being attractive or sort of niche in opportunity, if you will, coming out of this, right, given the array outside of just traditional wind and solar. -- for IRA?
Jeff Eckel: So RNG is a good example of a market that's been around. NextEra had a great announcement, a number of other great companies are in this the LCFS credits, while not a part of the Ameresco project necessarily because they were almost completely landfill gas. Does afford us an opportunity to go deeper into the RNG market. The ITC on storage is one where interested in, in that it makes stand-alone storage projects more viable. I don't think we're on the cusp of closing any stand-alone storage projects yet. But those would be the two areas that I would highlight.
Julien Dumoulin-Smith: Excellent. Well, thank you guys for the time
Jeff Eckel: Thanks.
End of Q&A:
Operator: There are no further questions at this time. Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may now disconnect your lines, and have a wonderful day.